Operator: Hello, everyone, and welcome to WallBox's Third Quarter 2022 Earnings Conference Call and Webcast. My name is Charlie, and I'll be your operator for today's call. At this time, all participants lines have been placed in listen-only mode to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I'd now like to turn the call over to Matt Tractenberg, Wallbox's Vice President of Investor Relations. Matt, please go ahead.
Matt Tractenberg: Thank you, operator, and good morning, and good afternoon to everyone listening in. Thank you for joining today's webcast to discuss Wallbox’s third quarter 2022 results. This event is being broadcasted over the web and can be accessed from the Investor section of our website at investors.wallbox.com. I am joined today by Enric Asuncion, Wallbox’s CEO, Jordi Lainz, our CFO, as well as Masud Rabbani, our Chief Business Officer. Earlier today, we issued our press release announcing results from the third quarter period ended September 30, 2022, which can also be found on our website. Before we begin, I’d like to remind everyone that certain statements made on today’s call are forward-looking, that may be subject to risks and uncertainties relating to future events and/or the future financial performance of the company. Actual results could differ materially from those anticipated. The risk factors that may affect us are detailed in the company's most recent public filings with the U.S. Securities and Exchange Commission, including in the Post-Effective Amendment No. 3 to our Registration Statement on Form F-1 filed on September 28, 2022, which can be found on our website at investors.wallbox.com and on the SEC website at www.sec.gov. We will be presenting unaudited financial statements in IFRS format that reflect management's best assessment of actual results. Also, please note that we use certain non-IFRS financial measures on this call and reconciliations of these measures are included in the presentation posted on the Investor section of our website. Also, a copy of these prepared remarks can be obtained from the investor relations website, under the Quarterly Results section, so you can more easily follow along with us today. So with that out of the way, I'll turn it over to Enric.
Enric Asuncion : Thank you, Matt, and thanks everyone for joining us today. In addition to reviewing highlights from the third quarter of 2022, I will also share some thoughts on the current market we’re experiencing, and provide you with some insights into our fast charging portfolio, both Supernova and Hypernova, including detail on customers, production, and backlog. I’ll discuss a few new partnerships, then Masud will join us to offer some higher level insight into how we approach partnerships with leading CPOs and energy providers like BeCharge and EDF, and why they select Wallbox. We’ll then turn the call over to Jordi, who will provide a more detailed review of our financial results, before I return to communicate our guidance for the fourth quarter and full-year 2022. We will end by taking questions from our covering research analysts. The third quarter finished within our expected range, with strength in North America and key European markets offsetting softness elsewhere. Market share gains as defined by units sold relative to EV and PHEV deliveries, have been substantial all year, and continued to grow through the recent quarter. Our European market share goal for 2022 was approximately 15%, and we achieved 19%. That is a testament to our products and footprint. Today, Wallbox has one of the most comprehensive charging portfolios including home charging, public DC fast charging, bi-directional, and semi-public AC. This award winning offering, including proprietary software and services, is both designed and manufactured in-house. The operational capabilities are enabled by our regional manufacturing footprint, now with facilities in North America, Europe, and Asia, and give us an expected capacity of more than 1 million units as we exit 2022. Our ability to consistently deliver high-quality and innovative products, while remaining flexible to changes in the demand environment has allowed us to build strong relationships with leading brands. Our strategy is resonating with customers, and we can see this in the results. It's always a busy time at Wallbox, and Q3 was no different. Revenue of EUR44.1 million grew by 140% on a year-over-year basis, and we’re pleased with our gross margin of 41.4%. We’ve forged new exciting partnerships, and have accelerated key initiatives within our product development roadmap. Our Q3 results were fueled by exceptional strength in North America, growing revenue by 535%, and key European markets, including 270% growth in France, 160% in Belgium, 130% in Italy and the Netherlands, and 125% in Spain, all on a year over year basis. We continue to make great progress in AsiaPac and LATAM, both of which are early in its EV transition. What's most exciting for us here is that, we have built the infrastructure, brand and relationships in these young markets. Often, while off a small base, our market share in these new countries is massive. This position us extremely well to continue our leadership position as EV adoption takes hold, and I’m excited to see what can be done here. North America now contributes 22% of total revenue, an increase of 14 percentage points over the prior year period. This exceptional growth drove in-part the geographic mix shift from Europe, which now represents 71% of revenue. Asia Pacific provided 5% of consolidated revenues in Q3, and Latin America was 2%. This meaningful shift is both deliberate and helpful, as we continue to diversify both our geographic and product mix. Our home charging portfolio represents 83% of our total revenue, with fast charging at 5% and 12% provided by software and services, a growing portion of which is recurring. Over the longer term, as Supernova ramps up and Hyprenova is introduced to the market, we expect our product revenue to be more balanced between home and public charging. We also anticipate software and services to represent approximately 20% of revenue. Consolidated gross margin in the quarter was 41.4%, driven by stable pricing, continued cost control of key components, and the impact of recent acquisitions. We believe we’re navigating the supply chain shortage of critical items better than most, and will continue to re-engineer products and establish strategic purchasing agreements for critical components. Jordi will share more details with you. And finally, we sold approximately 67,000 chargers in the quarter, with the geographic mix nearly identical to that of our revenue mix by geography. The macro environment has become increasingly complex as we’ve made our way through the year. There are always going to be gives and takes as you progress through a forecast period, but the differences in 2022 have been notable for many companies. The challenge for a successful business like Wallbox, which has been more than doubling in size every year is remaining focused on the long term opportunity while navigating near-term obstacles. Clearly, EV demand is stronger than anyone ever imagined. It's being driven by consumers, and enabled by new, innovative technologies and increased choices. The record number of new 2023 EV models is exciting to see, and will only serve to accelerate adoption. But manufacturing capacity and economies of scale and its impact on pricing has yet to be realized within the automotive industry. While we’re preparing for a strong 2023 and 2024, we’re not ignoring the challenges that many in the automotive industry face today and which I will speak about in a moment. Still near term bumps won’t distract us from executing our long-term strategy, especially given the size and duration of the transition taking place within our market. And our goal is to be the most successful company in it. For most of 2022, Europe has delivered fewer EVs than expected, and as a result, our investments in the coming quarters will be focused on pockets of growth within the region. As Masud will share, there are always opportunities that we identify and win. That's what Wallbox does best. The U.S., which is now the world’s second largest country for EVs, continues to grow at a staggering pace, and is expected to continue given subsidies from both the NEVI program and Inflation Reduction Act. Our current portfolio, capabilities and product roadmap sets us well to be one of the few hardware vendors that meet all manufacturing and performance requirements, qualifying us for government subsidies. We began investing in our infrastructure there last year, and believe we are well ahead of the curve. While it's too early to put a number on the opportunity here, it has the potential to be massive. Our focus over the next five quarters will be to ensure we have everything we need to be the market leader going forward. Our business model is also a key element in our ability to navigate the current environment. You heard us talk about our unique manufacturing model, about our highly verticalized supply chain strategy, about our global operating and distribution footprint. It's something that is not openly visible, but under the hood, Wallbox is a very different vehicle. The decision to operate in this way was not made yesterday. It's not a reaction to recent supply chain disruptions or the subsidies announced in the U.S. The decision was made when the company began, and we’ve built the business like this to allow for improved agility and time to market, improved control of the manufacturing process, faster delivery times, reduced freight costs, and more rapid certification times. One example is the recent acquisition of ARES, which is a leading supplier of PCBs, a critical component in most technologies today. We believe this transaction announced last quarter allows us to secure a critical component, enabling us to better navigate shortages that others are experiencing, allowing faster innovation times, offering cost savings, and supporting our goal to ship product within 72 hours. Another example is our installer capabilities. COIL, a leading North American installer network is now part of Wallbox, as you heard on our last call. When paired with our in-house capabilities in Europe, the value customers can realize from a comprehensive solution is compelling and not easily replicated. Masud will share why it's so important in a moment. The final example is our EMC chamber at our headquarters. It is one of only two in the south of Europe, as it is currently equipped to test up to 150 kilowatts and upgradable to 400 kilowatts. Why do we need something like this? Consider the testing, validation, and certification processes. Having in house the capability to test electromagnetic compatibility at very early stages of a new development puts Wallbox in a position to optimize not only components selection, but to design the most effective energy management architecture, with highest performance at most competitive cost. But advantages are also at the time of product certification. Perhaps you’re one of 30 different hardware vendors who want to introduce a new charger in the UK in January. Your product cannot be sold without being proven compatible and safe to connect to the grid. That requires you to get in line to have your charger tested, and now you’re waiting in line behind dozens of your competitors. Such equipment is normally fully booked, and you’ll wait months for your turn, and if you do not pass at first attempt, product iterations and recertification will take several additional months. That time lost is pure waste. It's costly and can erode a competitive advantage very quickly. At Wallbox, we wall the new charger from the lab to the fourth floor, and perform the test. It is how we built the business from the ground up to control our own destiny, and you see that in everything we do. Turning to our next business highlight today, I want to share some thoughts on the U.S. and our fast charging portfolio. We recently held our factory opening ceremony at the facility in Arlington, Texas. We’ve posted a video on our Investor Relations website for you to watch when we’re done here. In Texas, we hosted customers, partners, government officials, and even some of you on the phone today. It was a great day for us, and it ushers in a new era of participation in the North American market. While we were proud to showcase our technology and capabilities, the product demonstrations stole the show, especially Supernova and Hypernova. Today, Supernova is sold in a 60 kilowatts configuration, with multiple versions on the way that will scale up to 150 kilowatts. These modular stations can operate with very high reliability rates, and are sold at competitive prices. While incumbent vendors are often working to undo years of poor quality and uptime, we are not burdened by it. This is a differentiation today, and one we intend on driving home with our customers. Poor reliability impacts the investment return profile for CPO’s, many of which are our customers. It's expensive to consistently run a truck to swap out a cellular modem, or an RFID reader, or change out a power module. Labor is expensive, and losing consumer trust in the charging infrastructure ultimately impacts adoption of EVs. For this reason, it's critical that industry reliability rates improve drastically. That is key and is something that we have focused on from the start. It is one of the main criteria when purchasing a DC fast charging station, and one that sets us apart. Supernova also continues to ramp up nicely. To-date, we’ve delivered units to almost 50 customers across more than 30 countries. We currently have a healthy pipeline of several thousand chargers, and we’ll continue to build upon it as production ramps up. If you’re unfamiliar with Hypernova, it’s our next generation DC fast charger, which reaches 400 kilowatts. That’s fast enough to provide 100 miles of range in less than five minutes. It's designed to be highly reliable, provide low total cost of ownership to operators, and will be brought to market in 2023, in time for the programs I mentioned. That product was not only on display in Arlington, but was charging a vehicle at that EV’s maximum limit, more than 220 kilowatts. We’re very pleased with the overwhelming reception from customers, which resulted in our first orders and multiple LOIs, and have very high expectations for market acceptance. Before Masud discusses our partnership strategy and outlines some exciting new programs, I wanted to offer some exciting updates on what the North American team has accomplished recently. First; you may have seen our announcement in August regarding Fisker. Wallbox has been selected as the exclusive partner to provide hardware and installation services to buyers of Fisker EVs globally. Customers will be able to purchase a co-branded charger and schedule COIL’s installation service through Fisker’s website. We’re very proud to have been selected and look forward to their vehicles hitting the roads soon. There was a joint announcement last week by the US department of energy, KB homes, SunPower, Kia, and Schneider Electric detailing what they call the first all-electric, solar-and-battery-powered microgrid community in California. The houses involved in these communities are equipped with backup battery storage, bidirectional EV charging capabilities, and perhaps most importantly, are interconnected, creating a resilient energy network. When combined, these technologies establish a self-supporting energy network capable of powering a neighborhood during a power outage. We’re excited for Quasar to be a part of that infrastructure and believe this is the first of many to come as utilities look for solutions to the growing gap between energy production and consumption. If you’re a regular shopper at BestBuy.com in the U.S., you’ll soon see Pulsar Plus on the website. We’ve been working with them in Canada, and this new phase opens up an enormous opportunity. This is a meaningful win for Wallbox and we look forward to reaching more consumers through their online presence. So congrats to the North American team, nice work and keep it up. Masud, I’ll hand it to you.
Masud Rabbani : Thanks Enric, good to be with you all today. Building strong partnerships with leading brands around the world is a key element of our go-to-market strategy. At our core, we develop very intelligent, high quality EV charging and energy management solutions for public, home, and business settings. Our partners know their core competencies, and they also know that the problem we are helping them solve is extremely complex. The issue is not simply how to charge an EV, but rather how to help the consumer manage their energy consumption in a rapidly changing world. Embracing the fact that the EV is not simply a mode of transportation, but also an energy storage asset sets us apart from our competition. That’s why we are viewed as a technology partner who focuses on innovation, reliability and contributes to the energy transition. For this reason, the strategic partnerships we have built, and continue to cultivate, are unique. Three examples of such partnerships are Uber, BeCharge, and EDF. Uber began as a U.S. partnership and quickly grew into what it is today. Their goal of electrifying their driver base by 2030 requires more than a million electric vehicles and last week we announced the expansion of the program into key European markets. This evolution is one that we’re very proud of, as it is a great example of how our broad footprint allows a local partnership to turn into a regional one, and eventually evolve into one that is global. A brand like Uber could partner with a handful of hardware vendors, and then cobble together an installation network for a few countries, but what happens when they want to enter 10 countries? 25 countries? It becomes virtually impossible to manage. That same premise applies to names like Fisker and Nissan. They want to work with someone who provides high-quality products on time, with the right volume, and offer an overall comprehensive solution for their customers. That's exactly what we offer. Lowest price does not win these opportunities. Amazing hardware, software, exceptional customer service, and the ability to deliver products on schedule is what determines the winner. BeCharge is another example of a meaningful opportunity that if you’re in the U.S., you may not be aware of. BeCharge is part of ENI, one of the largest energy companies in Europe. They are undertaking a massive infrastructure upgrade, and replacing AC chargers with 60 kilowatts Supernova’s. There are currently 300 units on order, 200 of which are expected to be delivered and installed in Q4. The total number delivered to this customer could potentially exceed 1,000 chargers next year, which makes it a very important partnership for both companies. EDF is another one of the world's largest utilities companies. They service more than 25 million retail customers, many of which already drive an EV. Our participation in their residential charging program is expected to drive orders for potentially more than 10,000 AC units in 2023 and grow from there. It’s a testament to our products and solutions to be included in a sizable program like this. While I wanted to highlight these three partnerships, there are dozens of other opportunities to cheer about. For example Atlante, a CPO with potential for more than 600 fast chargers in 2023, and 60 already on order in Q4. Powy, formerly operating as F-Charge, has 200 units on order. Another notable Mediterranean utility has 100 units ordered. And A2A has another 100 units of Supernova ordered. To give you context, in Italy alone, we see enough demand to account for 100% of today’s production capacity, but we continue to scale up and improve each quarter. It’s looking to be a very exciting time for us and our new fast charging portfolio. Our dedicated DC fast charging team has been doing an incredible job, and we continue to hire the absolute best talent to ensure we provide the best commercial management to our clients on both the sales, and equally important, the services and after sales side of things. On the OEM side with our home chargers, we’ve been equally successful. The Nissan partnership in Europe is performing well, and we’re excited about the arrival of their new SUV in the U.S. and Europe. We have similar partnerships with companies like BYD motors, who sold almost 650,000 vehicles in the first half of 2022. We’re proud to be included as they expand globally. In closing, our strategy is resonating well with customers and we continue to build momentum in the marketplace. Our value proposition of delivering the best products in the market with exceptional customer support is allowing us to take meaningful share as the sales team fires on all cylinders. I look forward to sharing more exciting announcements with you in the coming quarters. Jordi, I’ll turn it over to you to comment on our financial details.
Jordi Lainz : Thank you, Masud. Good morning and good afternoon to everyone. Before I review the financials, I’d like to point out that our first half 2022 unaudited financial results can be found in our form 6-K, which was filed on September 29th, 2022 with the SEC. As a reminder, our intention is to provide you with key unaudited financial and operational measures as we make our way through the year, so you can remain informed of our progress. Like Enric, I’m pleased with our record quarterly results and the progress we’ve made this year. The business is executing well, and we are operating from a position of strength. For the third quarter 2022, revenue was EUR44.1 million, a 140% increase from the year-ago period, driven by strength across multiple regions and products. The seasonal pattern we saw as we moved from the second quarter to the third was similar to what we’ve experienced in past years. Now let me share with you some key highlights that drove our quarterly results. First, our regional mix, now with more than 113 countries, continues to improve upon the benefit of geographic diversification. North America accounts for 22%, up from 8% in the prior year period, and Europe now represents 71% of our revenue mix, down from 85% last year. Asia-Pacific is currently 5%, 1 point lower than last year. And Latin America is 2%. We expect this shift to North America to continue, as EV adoption accelerates and U.S. subsidies take hold. Second, gross margins continue to be resilient in the face of continued component shortages, and 41.4% is a great outcome. This consistency is something investors have come to expect from Wallbox, and we work very hard to meet our commitments. The resiliency you see in our gross margin is a result of our unique offering of hardware and intelligent software. Most competitors compete on price. We do not. Our value proposition is based on the consumer experience, energy management, ease of install, reliability and design. This is how we compete, and as a result, are able to hold pricing relatively stable. Adjusted EBITDA loss for the quarter was 20.7 million euro, down slightly on a sequential basis Our Balance Sheet remains solid, with 87 million of cash and equivalents available at quarter end. Opening a new factory in the U.S., accelerating Hypernova to market, and building a robust supply chain for Supernova in Europe to support the demand Masud just spoke about, requires capital. The investments we’ve made are intended to enable us to deliver a high-quality, innovative DC fast charger portfolio that far exceeds anything you see in the market today. The components needed for these complex devices are often in short supply, so securing adequate supply in a competitive market is an advantage. As a result, we hold more finished goods, work-in-process, and raw materials, than we would in a normally functioning supply chain. To provide context, 5% is from accessories, 8% of the inventory is related to ARES, 16% is related to DC Fast charging, 15% is for materials that are shared across the portfolio, and 55% is to support our AC products. From a different angle, 30% is finished goods, and 70% is in raw material form, ensuring we have critical components. These balances are as we anticipated, and allow us to act on share capture opportunities quickly while others struggle to deliver product. In fact, we have gained a great deal this year because we have been able to deliver chargers to customers very quickly. For our distributor, suppliers, and installer customers who can't bid on a project if they’re forced to wait 10 weeks for a charger, this is critical. We view this inventory valued at approximately EUR86 million, as temporary, and as strategic, in similar fashion to cash on the balance sheet, and it’s taken into account when assessing future cash needs and uses. The vast majority of this balance are new products that are expected to be sold in the coming two quarters. As the supply chain disruptions [Technical Difficulty] to reasonable levels. While I am confident in the strength of our balance sheet, I also want to ensure that we enable the growth we’re able to achieve. A company which has been doubling in size every year has substantial working capital needs, and we are no different. We believe that our cash, combined with our inventory and planned expansion of our working capital facilities, provide the capital we’ll need to navigate 2023. We believe we have multiple options to adjust our balance sheet as we chart a path to positive cash flow. On that topic, I'm pleased to announce our participation in an exciting grant program in Europe named Next Generation Funds. The program is designed to cultivate innovation in the region, and Wallbox has been awarded almost EUR5 million to further develop fast charging technologies. We ended the quarter with EUR36 million of long-term debt, which now incorporates assumed debt from recent acquisitions and other additional facilities. As of September 30th, there were more than 1,200 Wallbox employees around the world. Given the uncertain economic climate that we have spoken about today, our plan is to be more strategic in where and how we add headcount and spend OpEx. Initiatives that have near-term revenue impact will remain intact, as will functions like R&D, which is crucial to our expansion plan. To be clear, we intend to continue to invest in areas that fuel our growth, while increasing our diligence on cost control measures. With that, I will now turn it back to Enric to provide you with some commentary around the fourth quarter.
Enric Asuncion : Thanks Jordi. As we shared with you on our calls in May and August, we have been closely watching EV delivery data, especially in Europe. Delivery rates have lagged EV orders for some time, and as a result, most industry forecasts have been adjusted down. Many had originally expected European EV deliveries in the 3.2 million range this year. That figure was recently reduced by 20%, to 2.6 million. Depending on the source, the expected year-over-year EV delivery growth rates in Europe for the full year 2022 are now between 10% and 20%. However, our 2022 regional growth to date here is 124%. That is 8 times the rate of EVs delivered. EV deliveries on a country level paint a mixed picture. While some markets have slowed considerably, others remain resilient. But it's important to remember that while EV deliveries are softer in some of these markets, our growth, as I've pointed out, has been often several times higher. These meaningful share gains give us comfort that we’re executing well and our strategy is working. Given our revenue today is heavily weighted toward residential charging, and skewed towards Europe, it's not surprising that this should have an impact on the timing of sales. However, these headwinds are largely transitory, and in combination with our geographic and product mix shifts, are expected to be solved in time. The long-term secular growth trends that we are benefitting from remain intact and we believe we’re very well positioned to lead the transition in the coming years. Remember, only 3% of the charging infrastructure needed to keep all the EVs moving in 2030 is installed today. Because this opportunity is so big, we remain focused on building our business to meet the future needs of the market, while being disciplined in where we spend today. Because you’ve seen us more than double the size of our business every year, we continue to believe we can achieve a $1 billion of revenue in 2025. This is aligned with our stated commitment of generating positive adjusted EBITDA in 2024 and generating positive free cash flow in 2025. Given what we see and have discussed here today, we expect consolidated revenues in the fourth quarter of between EUR42 million and EUR52 million, or growth of approximately 60% to 100% year over year. We also expect gross margins of approximately 40% in the fourth quarter. For the full year 2022, this results in expected revenue of between EUR154 million and EUR164 million, representing an approximate annual growth rate of between 115% and 130% percent. This reduction in full-year guidance reflects softer EV deliveries and challenges that many companies have presented recently, and while we’re cautious about the remainder of 2022, we are optimistic about 2023. To this context, recent industry forecasts for EV deliveries next year in Europe and North America are EUR3.9 million and EUR1.8 million, respectively. That represents growth of 50% in Europe and 65% in North America. Our improving geographic diversification and product mix, when paired with expected production improvements from EV makers, and both the NEVI and IRA subsidies beginning to roll out give us reason to be constructive on the upcoming year. Because we believe it's prudent to allow the economic climate and OEM supply capacity to evolve and continue collecting data, our plan is to provide more detailed 2023 financial expectations in the coming months. However, today, we expect 2023 revenue growth to be at least 100%, and potentially as much as 120%, while we continue to work towards achieving positive EBITDA in 2024. We believe this is a realistic view of the upcoming year, but should note that if component constraints ease and OEMs can ramp production faster, there is upside potential. We will continue to watch market indicators and share progress as we make our way forward. What we can control is going quite well, thanks to the world class organization we’ve built with an experienced management team and talented employees. Capturing market share, managing our supply chain, forging new partnerships, building backlog, achieving stable gross margin, and innovating products are what we focus on today. These all remain on track or are exceeding the expectations we had at the onset of the year. However, we remain aware of the global economic environment and its impact on supply chains and ultimately EV deliveries. I want to leave you with a few key thoughts. First, we are confident in our ability to execute our business plan and meet our commitments to investors, customers, and partners. Achieving consistent results, including revenue growth and gross margin is key to our philosophy and long-term success. Second, our portfolio continues to evolve and expand, and is now more complete than it’s ever been. Third, the operating model we’ve deployed is proving to be a key advantage in the marketplace as supply chain disruptions persist. And finally, our global reach is enabling us to forge key partnerships with market leading brands around the world, which strengthens our competitive position and sets us well to continue capturing share in the EV charging market. That concludes our prepared remarks today. We’ll now take questions from our covering analysts.
Matt Tractenberg: Welcome back everyone. To our analysts we ask that you pose one question with a follow-up if needed, then reenter the queue if there's more. This will allow each of you to ask your questions upfront and we'll get to as many additional questions as time allows. Charlie, I think that you have some instructions for our audience today.
Operator: Thank you. [Operator Instructions] We have our first question from George Gianarikas from Canaccord Genuity. George, your line is open. Please go ahead.
George Gianarikas: Hi, everyone. Thank so much for taking my question. I'd like to ask a little bit about the NEVI program. And if you could just please sort of talk a little bit more about your positioning there, what you're hearing about tightening of program awards [Technical Difficulty] and how you feel about the competition, particularly relative to the [Technical Difficulty]
Enric Asuncion: [Technical Difficulty] But starting the moment of production. And as you know, today we're already producing in Texas, in Arlington, our home chargers. We will be able to achieve these requirements. Today more than 60% of our supply chain is being sourced locally and it's all being assembled in Arlington, Texas. So we have lots of room and I think we're ahead of the curve, but we started doing this factory and preparing these products more than a year ago, even before that was a requirement. We have a factory up and running, we have a supply chain deal with local suppliers, we have the employees already there. So once Hypernova is there, which is going to be at the second half of next year, we will have a product that will be fully compliant to be eligible for this program. So, again the message here is that, we are ahead of the curve to capture these subsidies and disrupt.
Matt Tractenberg: Yeah. And George, only thing that I would note -- sorry, it's Matt, by the way, is that, it's a bit early to put a number on it. And so, we're very optimistic about how we're going to participate in the program. We're having very constructive dialog with CTOs and with project administrators, but it's too difficult at this stage to put a number in the model. And for that reason, we're conservative in our outlook for next year. That means that, as we make our way through 2023 and we have line of sight to projects we can have those conversations in Q2 and Q3 of next year. The only other thing that I would point out is that, we like to talk about DC fast-charging and the big opportunity there, but there's equally as big an opportunity on the AC side. So there's lots of subsidies around and tax concessions on the automobile side, which we believe will drive demand on the AC side as well, which we're very well positioned to take advantage of.
George Gianarikas: Thank you.
Matt Tractenberg: Charlie?
Operator: Thank you. Our next question comes from Chris Snyder of UBS. Chris, your line is open. Please go ahead.
Chris Snyder: Thank you for the question. And so, much of the commentary in the prepared remarks on the softer EV production in the EU was attributed to production constraint, so I think everyone appreciates and it sounds like we’ll expect those production constraints both in Q4 and then also it sounds like the limiting factor in growth in 2023 is also the OEM's ability to produce. But I guess my question is, do you think any of the softer production rates is attributable to softer demand? Obviously, consumers are pressured with inflation, financing rates are high, and I guess what gives you confidence that the bottleneck here is really just the ability to produce maybe not be ability to buy? Thank you.
Enric Asuncion: Hi, Chris. Thank you for joining. It's Enric. So here the important thing and I think it’s key that we grew 140% in this quarter and we are on track to grow more than 100% this year in a market that grew between 10% and 20% this year. And you're right on assuming that for 2023, we are already assuming constraints on the deliveries of EV. So when we are providing this 100% to 120% growth for 2023 is including our assumptions that the supply chain will not be sold and there's going to be issue with that. That said say, we 100% believe and we are seeing that the problem on the software deliveries is a problem of delivery, not a problem of demand. We are seeing today eight to 12 months of book orders to buying electric cars and proof of that is that the use hand or secondhand vehicles today are often -- when you buy an electrical car often more expensive than when you buy them new. There are reports that are showing that in the U.S. and in Europe. So we saw – not only something is happening in Europe, but also in the U.S. You want to buy used electric car, you have to pay more than [indiscernible]. So looking at the order book, looking at the delay that it takes to get the car, both looking that we are seeing that apart from car manufacturers that adding increasing prices in orders that have not been delivered and the increased price of used vehicles, we believe and we are seeing that it's a problem of supply, not a problem of demand. Demand is stronger and with order books of electric cars for more than eight to 12 months, we don't expect any issue on demand, at least for the next year.
Chris Snyder: Appreciate that. And thanks for the color. Secondly on the order backlog. And I think the point around the U.S. pricing is already interesting as well. I guess for my follow-up, maybe at Quasar, as we just see a higher more volatile energy crises really globally, but I guess particularly in the EU, has that any impact on Quasar uptake, just given the solutions that product provides? Thank you.
Enric Asuncion: Yes. So, what we're seeing is much more interest from electric car manufacturers to include it as part of their offering. So, we have been selling Quasar 1 and right now the sales of our product Quasar 1 is limited by our production capacity of Quasar 1, but we discussed that Quasar 2 is coming in few months, which is the first CCS bidirectional charger for home. So it’s going to be a CCS car which will work with American cars and European cars. And what we have already is, few car manufacturers that have -- that we are working with to make sure we are compatible with their model and we will launch and we will announce soon with a specific car manufacturer that we are selling the Quasar 2 with them. So, yes, there is a demand from the public. But what's helping us more is that the OEMs and car manufactures are paying interest to bidirectional charging, because it solves -- it's a point-of-sale for them, it’s becoming a point of sale, because now you saw an electric car and you can power a home in case of a blackout. And you can charge your car when energy is cheaper and power-the-home when energy is more expensive. So, they are starting to see that with this they can sell more cars. So we have these conversations and we are -- not only conversations, we are working on preparing launches with some of these car manufacturers for the new product Quasar 2. So it's definitely accelerating the interest for Quasar 2 and soon I hope I will – I don’t I hope I will give you news soon about this.
Matt Tractenberg: Thanks, Chris.
Chris Snyder: Thank you, Enric. Really appreciate the color.
Operator: Thank you. Our next question comes from Ben Kallo of Baird. Ben, your line is open. Please go ahead.
Ben Kallo: Hi, good day. Thanks for taking my questions. Firstly, could you talk a little bit about SunPower, who is your partner made announcement with GM. Could you just talk about how you fit in there a little bit more if you do? And then the second, could we just because you have new product mix maybe revisit how your channels look now versus your select utilities sold direct or selling through partnerships? Thank you guys very much.
Enric Asuncion: So regarding SunPower [indiscernible] GM, we are not part of this project, so we are actually part of another project with KB homes and the Department of Energy that we commented during the earnings call and the idea is that, Quasar 2 can be part of a microgrid in -- of many houses, so [indiscernible] many housing in this project and in case that there is a blackout Quasar 1 -- Quasar 2 is part of this microgrid to supply energy to the different houses. And I'm sorry, your second question, I think [indiscernible].
Ben Kallo: The second question was about your channel. As your product portfolio increases, how you see your channels going maybe next year between utilities direct and then partners or distributors?
Enric Asuncion: Okay. I will let Masud to answer this one.
Masud Rabbani: Yeah. In terms of channels, if you look at the overall global distribution of revenues by channel. I don't necessarily see any specific or [Technical Difficulty] is that you're going to see lots of different trials take place over the next couple of years. And you're going to see lots of different architectures and configurations. And I think that we have lots of good partnerships, a lot of very interesting successful partnerships that will play out very nicely, but it doesn't mean that SunPower is not going to participate in other trial programs with folks like GM. So we don't view that as a negative at all. We think that our position is exceptional and we have a great partnership with them. Okay.
Ben Kallo: Okay. Thank you, Matt.
Matt Tractenberg: Yeah. You bet. Charlie?
Operator: Of course. Our next question comes from Maheep Mandloi of Credit Suisse. Maheep, your line is open. Please go ahead.
Maheep Mandloi: Hey. Good day, and thanks for taking the questions. And appreciate the color on Q4 guidance and how you are thinking about '23. Maybe just on 2023 itself, could you talk about the portfolio breakout? I'm trying to see like how much growth you're expecting on fast-charging and how much backlog visibility you might have on that to the extent if you assume that home charging backlog is not that visible, right?
Enric Asuncion: That's correct. Backlog on home charging is not as visible, right? These are sort of quarter out purchases. Typically what we say is, so the DC fast portfolio is different. Yes. So we have a strong pipeline of few thousand units and we already have fixed orders to be delivered during Q4 and the next year from some of the partners that Masud commented. We expect next year around 20% to 30% of the revenue to be fast-charging, most of it is going to be Supernova and small percentage of is going to be maybe 5% or a little bit more to be Hypernova. So the biggest part of the fast-charging for the next year is going to be Supernova. And the rest is going to be very similar to now, at 10% to 15% hardware and services. Sorry, software and services and the rest home products which most of them are AC products around 15% to 20%, again of Quasar bidirectional chargers. So to summarize, 20% to 30% fast-charging, 10% to 15% software and services, 10% to 15% Quasar and the rest AC home charging products.
Maheep Mandloi: I appreciate that. And just building on that, can you talk about like how should we think about gross margin, because for 2022 I think gross margins are more or less in line with expectations 40% though, but for ‘23 with the new capacity ramping up in the U.S. markets these lower sales impacted sort of [indiscernible] that would be helpful. Thanks.
Enric Asuncion: Yes. So, we exceeded our gross margin expectation so far. We were expecting 40% and we've been always about 41%. With the acquisition of ARES we have potential upside for gross margin increase and that's something we not been able to see this quarter, because all the additional stock of raw materials we still have in our balance sheet. So we are consuming through the stuff we already have, we work with workbook chase before we acquire ARES. So that's having -- still we are not seeing the impact of ARES. So we have a very positive trend, which is the acquisition of ARES which will in fact improve our gross margin, but then you are right, we are seeing a potential impact on new products that we're launching and we are ramping up, which are Supernova and Hypernova, which will have the first six to seven months of the launch of the product a lower gross margin, given the fact that every time we launched a new product, we have lower gross margins. But we will give you more detail, but I think overall, we're in a very good position to be working on the gross margins we expected, because again thanks to ARES, thanks to improvements on cost efficiencies and design to cost and increase of volumes, we will be able to manage a potential reduction, given the fact that we are launching new products and will become an important percentage of our revenue. So I think overall, we will compensate both effects.
Maheep Mandloi: Got it. I appreciate the color. Thank you.
Matt Tractenberg: Thank you. Charlie?
Operator: Thank you. [Operator Instructions] Our next question comes from Alexander Virgo of Bank of America. Alexander, your line is open. Please go ahead.
Marion Forbes: Yes, hello. This is Marion on behalf of Alex. Thank you for taking my question. Just wanted to confirm on the Hypernova orders, could you confirm it was coming from the U.S. and you expect to start the production next year.
Enric Asuncion: Yes. So, thank you. Thank you for the question. We have another that is going to be delivered next year for the U.S., few units and multiple LOI's that are adding to the pipeline of Hypernova, all of them for the US. To be clear, Hypernova is a product that we are first launching in the US, we expect to have it in the US, the second half of next year and in Europe as we finish 2023. So, we are prioritizing Hypernova in the US before Europe. In Europe with the 150 kilowatt supernova it will be more than enough to cover the market needs next year and in 2024 we will we have Hypernova in Europe. But yes, these orders are all and this LOIs are all for the U.S.
Marion Forbes: Okay. Thank you. And if I may, just could you comment on the volume ramp up in Arlington factory? Do you still expect 250,000 units for the end of this year?
Masud Rabbani: That's capacity. Yes. That doesn't mean that 250,000 that will come off the production. So I think that that number is still appropriate. And remember, that's a pure AC number, but our product mix next year will be mixed between AC and DC.
Enric Asuncion: And to expand and give a little bit more color about Arlington. So we have -- for the people that joined and visited the factory a couple of weeks though, we could show that the factory had -- it was half empty because we have splitted the development of the rest of the factory into parts. The reason why we did this way is to be able to increase capacity once we are [indiscernible] capacity. So -- and also to reduce -- to be able to reduce CapEx now. So we have invested enough to be able to produce 250,000 charges a year with this Phase 1. We are limiting CapEx and we are taking half of the space of this facility. And once we are at 100% of capacity, we will double our space and we will able to achieve up to 1 million of chargers a year of capacity. So I mean, we still have a lot of room to grow and we [indiscernible] to make sure we didn't invest all the CapEx now. So we are able to delay CapEx in one year or two years.
Marion Forbes: Okay. Thank you very much.
Matt Tractenberg: Well, Charlie, I think that's all the questions in the queue. So that's going to be the last one for today. But thank you all for joining us today. We hope you found today's call a good use of your time. Also, please note that we're going to have several upcoming investor events during the quarter. So reach out to us if you're interested in meeting with management. You can catch us at investors@wallbox.com. Let us know if we can help you in any way. Have a great day, everyone.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines.